Executives: Martin Mucci - Chief Executive Officer, President, Director and Chairman of Executive Committee Efrain Rivera - Chief Financial Officer, Senior Vice President and Treasurer
Analysts: Jason Kupferberg - Jefferies LLC, Research Division Paul B. Thomas - Goldman Sachs Group Inc., Research Division Rod Bourgeois - Sanford C. Bernstein & Co., LLC., Research Division Sara Gubins - BofA Merrill Lynch, Research Division James R. MacDonald - First Analysis Securities Corporation, Research Division Danyal Hussain - Morgan Stanley, Research Division Ashwin Shirvaikar - Citigroup Inc, Research Division Joseph D. Foresi - Janney Montgomery Scott LLC, Research Division David Togut - Evercore Partners Inc., Research Division Bryan Keane - Deutsche Bank AG, Research Division Kartik Mehta - Northcoast Research Jeffrey M. Silber - BMO Capital Markets U.S. David M. Grossman - Stifel, Nicolaus & Co., Inc., Research Division Timothy McHugh - William Blair & Company L.L.C., Research Division Mark S. Marcon - Robert W. Baird & Co. Incorporated, Research Division Tien-tsin Huang - JP Morgan Chase & Co, Research Division
Operator: Welcome, everyone, and thank you for standing by. [Operator Instructions] Today's conference is being recorded. If you have any objections, you may disconnect at this time. And now I'd like to turn your conference over to Martin Mucci, President and Chief Executive Officer. You may begin, sir.
Martin Mucci: All right, thank you. Good morning, and thank you for joining us today for our discussion of Paychex's second quarter fiscal 2014 results. Joining me today is Efrain Rivera, our Chief Financial Officer. Yesterday afternoon, after the market closed, we released our financial results for the second quarter ended November 30, 2013. We will file our Form 10-Q, which provides additional discussion and analysis of the results for the quarter tomorrow, on Friday. This teleconference is being broadcast over the Internet and will be archived and available on our website for about one month. On today's call, I will share some thoughts on results and update you on how we're doing in operations, sales and product development, and Efrain will review our second quarter financial highlights and discuss our full year guidance. And then we'll open it up for your questions or comments. Let me start by saying we're pleased with second quarter results. We have made good progress toward our growth goals with continued positive momentum in sales, new product enhancements and geographic expansion. Client satisfaction and retention remain at record high levels for Paychex, and Efrain will go into more detail on the financial results and comparisons. However, I'd like to provide you with some highlights from my perspective. Total service revenue, and specifically, payroll service revenue, showed good growth of 7% and 5%, respectively. Payroll service growth at 5% as compared to 2.5% or 2.4% growth in the first quarter. HRS revenue continued to grow at double-digit rates in the second quarter as we continue to experience good success in selling and retaining 401(k), as well as HRS -- HR outsourcing services under both the PEO and ASO models. Our checks per payroll have improved for 15 consecutive quarters, and in the second quarter, experienced similar growth with the first quarter. Our execution in service operations has continued to be excellent, demonstrated by our exceptionally strong client satisfaction results. We believe that this industry-leading client service that we provide, combined with the innovative technology, sets us apart from our competition. From a sales perspective, we saw continued positive momentum during the second quarter, particularly in core payroll, SurePayroll and HR service areas, and we are well positioned for our important selling season that we're in now. We continue to grow revenue per unit as well. From a technology perspective, continued investment in our software-as-a-service solutions and mobility offerings position us well for the long-term growth. We have market-leading SaaS solutions, leveraging the latest technologies and continue to invest significantly in online capabilities, as well as our mobile applications. Whether you are a client or client employee, our mobile app provides a clean and efficient access to all of your information with 1 to 2 clicks, as well as the ability for clients to start, edit and submit their payroll with the best mobility app, we believe, in the marketplace. We have further broadened our SaaS solutions portfolio with the launch of Paychex Accounting Online. This cloud-based accounting service is being delivered through a strategic partnership and investment we made in Kashoo, a leading provider of cloud accounting services. Our entry into the cloud accounting market reflects our commitment to provide small businesses with the products they need to succeed. This complements our industry-leading payroll and HR Solutions by expanding our suite of services designed for small businesses and midsized businesses and entrepreneurs. This product will also further enhance the strong partnership we have with the CPA communities. In the past few quarters, I've talked about it -- our new products designed to help clients -- our clients manage the compliance requirements of the Affordable Care Act, more importantly known as health care reform. We continue to execute the rollout of our new product offerings in this area including our Paychex Employer Shared Responsibility Service, a more robust monitoring service, and our Paychex Benefit Account. We continue to see health care reform as an opportunity and have worked to get a great deal of information out in front of our clients as they work through all of the requirements of the Act. This selling season, our sales force is able to present options to clients and help them determine what will be beneficial for their businesses. During the second quarter, we completed an acquisition of a payroll service provider in Germany, which we mentioned during our first quarter call. While our operations in Germany are immaterial to the overall company results right now, we continue to expand our global footprint with this acquisition and our start-up operation in Brazil and drive for more presence and growth in the markets that we serve. We are pleased with the progress that we have made in product development and expansion as well, and we continue to execute on what we have brought to market. We have also continued with the shareholder-friendly actions. Our quarterly dividend is now at $0.35 per share, increased from $0.33 back in July. We have also continued to repurchase Paychex stock opportunistically. And we have repurchased approximately 4 million shares of common stock for a total of $159 million in the first 6 months of fiscal 2014. Recent results released from the Department of Labor are encouraging. These results indicate, we believe, a continued addition of new jobs and a moderation in the unemployment rate. This is indicative of the U.S. economy as it continues its broad and steady job growth. We have seen positive impacts in our checks per payroll growth and this bodes well for continued positive trends in our business. In summary, I am pleased with what I see as solid results for our second quarter and continued momentum for the first half of fiscal 2014. I appreciate the great work of our Paychex employee teams across the country and in Germany and Brazil. And I appreciate the great work of our -- and I appreciate all the work that they're doing in service and sales operations. I will now turn the call over to Efrain Rivera to review our financial results in more detail. Efrain?
Efrain Rivera: Thanks, Marty. I'd like to remind everyone that during today's conference call, we'll make some forward-looking statements that will refer to future events, and as such, involve risks. Refer to our press release on a discussion of forward-looking statements and related risk factors. As Marty indicated, second quarter financial results for fiscal 2014 represented sequential improvement from the solid start we had for the year. Here are some of the key highlights of the second quarter and the 6 months. I'll provide greater detail in certain areas and wrap with a review of the full -- 2014 full year outlook. Total service revenue grew 7% in the second quarter to $601 million and 6% to $1.2 billion for the first 6 months. Interest on funds held for clients increased about 1% for the second quarter and was flat for the 6 months to $10 million and $20 million, respectively. Fluctuations were driven by an increase in average investment balances offset by the impact of continued lower average interest rates. As you saw on our interest on funds, though, this was the first quarter in a long while we're actually up slightly. Expenses increased 7% for the second quarter and 5% for the first 6 months. We continue to invest at a high rate in product development and supporting technology, and we experienced higher sales-related costs attributable to solid sales execution during the first 6 months in both core and -- core payroll and HRS products. Operating margin was 39.7% for the quarter and 40.4% for the first 6 months. Operating income, net of certain items, increased 8% for both the second quarter and the 6 months. We expect operating margin for the full year to be approximately 38% as we continue planned investments during the balance of the fiscal year. Net income increased 7% for both the second quarter and the 6 months to $159 million and $322 million, respectively. Diluted earnings per share increased 5% to $0.43 per share for the second quarter and 6% to $0.88 per share for the 6 months. Now turning to payroll service revenue. It increased 5% for the second quarter and 4% for the 6 months. We benefited from increases in checks per payroll and revenue per check. As Marty already mentioned, our checks per payroll increased during the second quarter, consistent with the 1.6% we experienced for the first quarter of fiscal 2014. Revenue per check grew as a result of price increase -- increases, net of discount, together with the impact of increased product penetration. Our second quarter growth benefited from the absence of the disruptive effects of Hurricane Sandy a year ago. During the second quarter last year, Sandy impacted our payroll revenue growth by approximately 0.5%. As a reminder, the growth rate for the last -- for last quarter was impacted by timing of processing as there was 1 additional processing day in the comparative quarter for fiscal 2013. And what I mean to say there is that, that was a reference to what happened in Q1. On HRS revenue, it increased 12% for both the second quarter and the 6 months. Both ASO and PEO revenues grew at double-digit rates. HRS revenue increased -- the HRS revenue increase reflects client growth, primarily in retirement services, HR solutions and eServices products. eServices continues to grow due to the success in the sales of SaaS solutions. Retirement services revenue also benefited from an increase in average asset value of participants' funds. Insurance services revenue growth reflected higher premium in workers' comp insurance services and an increase in the number of health and benefits applicants. HRS revenue growth was tempered modestly by higher direct costs in our PEO. Note that HRS revenue quarterly growth can vary due to volume of clients; PEO worker's compensation and basis points earned on retirement services client employee funds; basis point changes due to fluctuations in the financial market and the asset value of funds invested. PEO net service revenue also exhibits greater variability between quarters due to a number of factors, including changes of workers' comp claims experience. Now turning to our investment portfolio. Our priority has been and will continue to be to ensure that we can meet all of our cash commitments to the clients. On the short-term side, our primary vehicle is high-quality variable rate demand notes. In our longer-term portfolio, we invest primarily in high credit-quality municipal bonds. Our long-term portfolio currently has an average yield of about 1.6% and an average duration of 3.3 years. Our combined portfolios have earned an average rate of return of 1.1% for the second quarter and the 6 months compared to 1.2% for the same periods last year. Average balances for interest on funds held for clients increased during both the second quarter and the 6 months, driven by the expiration of certain payroll tax cuts on December 31, 2012, which resulted in higher Social Security withholdings growth in checks per payroll and client growth. Our investment income increased due to -- decreased for the first 6 months due to lower average interest rates earned, partially offset by an increase in average investment balances, resulting from the investment of cash generated from operations. I'll now review the highlights of our financial position. It remains strong with cash and total corporate investments of $839 million as of November 30, and we have no debt. Funds held for clients as of November 30, 2013, were $3.9 billion compared to $4.1 billion as of May 31, 2013. Funds held for clients vary widely on a day-to-day basis and averaged $3.5 billion for the 6 months, a year-over-year increase of 6%. Our total available-for-sale investments, including corporate investments and funds held for clients, reflected net unrealized gains of $22 million as of November 30, 2013, compared with net unrealized gains of $35 million as of May 31, 2013. Total stockholders' equity was $1.8 billion as of November 30, reflecting $256 million in dividends paid during the first months -- first 6 months. Our return on equity over the past 12 months was 34%. Cash flow from operations were $400 million for the first 6 months, a 23% increase compared to the prior year. The increase was driven by higher net income and our noncash adjustments from net income, mostly depreciation and amortization, and premiums [ph] of available-for-sale securities and changes in our operating assets and liabilities relating to timing. I'd like to remind you that our outlook is based upon our current view of economic and interest rate conditions continuing with no significant changes with the exception of HRS revenue guidance is unchanged from the previous quarter. So payroll revenue growth, we expect it to be 3% to 4% for the year, that remains unchanged. HRS, given its strong performance in the first half of the year, we bumped that up 1 point to 10% to 11%. We think that total service revenue will still be in the range of 5% to 6%, albeit on the high end of that range. Net income growth is anticipated to be in the range of 8% to 9%. This growth rate is impacted or affected because the fourth quarter of last year we recognized additional tax provision for the settlement of a state tax issue, which impacted our diluted earnings per share, another way of saying that we ended the year at $1.56 and that's the way at which we're computing that growth rate. Our operating margin for the year is anticipated to be approximately 38%. This is lower than the margin experienced in the first half of fiscal 2014, but as I previously mentioned, margins are historically lower in the second half of the fiscal year. We don't expect the expense leveraging realized in the first half of the fiscal year to continue throughout the remainder of fiscal 2014 as we continue our planned spending. We didn't disclose the anticipated range for interest on funds held for clients and investment income net. These ranges were provided in June and we don't anticipate a material change from those ranges. I'll turn it back over to Marty.
Martin Mucci: Great. Thank you, Efrain. We will now open the meeting to questions, please. Teresa?
Operator: [Operator Instructions] Our first question comes from Jason, your line is open.
Jason Kupferberg - Jefferies LLC, Research Division: This is Jason Kupferberg. Just a question on the core payroll. So it was interesting to us to see that on a quarter-over-quarter bases, core payroll was actually up a hair. I think, usually for seasonal reasons, it tends to be down quarter-over-quarter. So was this an issue in terms of number of processing days quarter-over-quarter? I know there was no change year-over-year, but if you could just comment on that and then maybe just remind us as we think about the back half of the year in terms of quarter-over-quarter changes in processing days, we should be considering for Q3 and Q4 because I think, year-over-year, Q3 has 1 more day, again, year-over-year while Q4 has one less, if I'm not mistaken?
Efrain Rivera: Yes, you're right. So yes, good memory, Jason. So the answer is Q2 did not have any additional days so we had 65 processing days in Q2 of 2013. We had 65 processing days in Q2 of 2014. You are correct in both statements that you made. So in Q3, we will have 1 additional day of processing. We'll still have 65, but it turns out that last year in Q3 in 2013, we had 64. And we will have 1 less day in the final quarter of the year than we had the year before. When you total all of this up for the year, we have 1 less day overall. I am happy to report that next year, we have the exact same days in the exact same quarters, so I won't have to -- we won't have to keep discussing days. But you're right. So we'll have -- this quarter was, even with the prior quarter in terms of days, plus 1 in Q3, minus 1 in Q4. So we'll have 1 less processing day overall than we had last year.
Jason Kupferberg - Jefferies LLC, Research Division: But just to clarify...
Efrain Rivera: So no issues from a compare standpoint.
Jason Kupferberg - Jefferies LLC, Research Division: Okay. What about even just quarter-over-quarter? I mean, fiscal Q1 '14 versus fiscal Q2 '14, was that also flat processing days?
Efrain Rivera: No. In fiscal '14 versus 2013, I mentioned that in the call, we had 1 less day this year than we had last year.
Jason Kupferberg - Jefferies LLC, Research Division: Right. No, I was just asking Q2 this year versus Q1 this year.
Efrain Rivera: Oh I'm sorry, Q2 versus Q1.
Jason Kupferberg - Jefferies LLC, Research Division: Yes, I'm just trying to -- because I'm just trying to get to how you guys saw a little bit of an increase in revenue sequentially here in...
Efrain Rivera: Sorry, Jason, I didn't catch the question. No, we're comparable in terms of number of days in this quarter versus last year. So to answer your question, it really is 3 pieces. So the first, we mentioned checks per payroll, about 1.6 comparable to Q2. We keep saying that checks per payroll will moderate. They have moderated, but very slowly. The second is we see better pricing environment. And the third is we've had some client growth. So those are the 3 components of why we did better.
Jason Kupferberg - Jefferies LLC, Research Division: Was there as much as a couple of million or so from the acquisitions in the Brazil JV in this quarter [ph]?
Efrain Rivera: No, no, no. The acquisition, which Marty mentioned on data, that was less than 0.2%. So it's really -- it's timing, I guess we should call it out specifically. And the JV isn't generating any revenue.
Jason Kupferberg - Jefferies LLC, Research Division: Okay. And then just lastly, the organic client growth, I think, you're targeting for this current fiscal year is 1% to 3%. So wanted to understand kind of where you're running at the midpoint of the fiscal year-to-date here. And any better sense of where you might fall within that range, obviously understanding that the key selling season is upon us and that may be a key swing factor. But any color there would be great.
Efrain Rivera: Yes, good question. So we still feel good about the range. We certainly, through the first 2 quarters, feel comfortable where we're at. Having said all of that, I'd just caveat what we say all the time, which is that the third quarter is a critical quarter for us not just from a sales standpoint, but also from a loss standpoint. So good trends. We feel pretty good. We're in the middle of selling season. We'll update you on where we're at.
Operator: The next question comes from Paul Thomas, Goldman Sachs.
Paul B. Thomas - Goldman Sachs Group Inc., Research Division: Marty and Efrain, just following up on that last question. I guess could you talk a little bit more specifically about the price increases? How much of a benefit that was in the quarter? And Marty, I think you also mentioned that some of that was a product benefit as well. So if you could talk a little bit about the benefit of both of those in the quarter?
Martin Mucci: Yes, I think just generally, we talked about price increases. We don't give specifically what we increase, but it was a consistent range. But I think what we're finding is the price increase was holding very well. We're not having to discount more. And in fact, we're getting a little bit more revenue per unit that we're selling as well. So we're feeling good. I would say the competitive market is about the same, but we're actually doing well from a price on a revenue-per-unit perspective. And then we're continuing to get more product per client as well, so more revenue per client in what we're selling. We've obviously offered some additional products, and so we're able to not only get good payroll pricing but also sell some additional products as well.
Paul B. Thomas - Goldman Sachs Group Inc., Research Division: Okay. Then could you talk a little more about the partnership with Kashoo? Should we think about that as more of an attachment to SurePayroll clients? Or are there opportunities for that in the 50-plus market as well?
Martin Mucci: Well, I think it's primarily targeted to, certainly, under 20, I would say. And I think it's, for a start-up, it's a simple cloud accounting software package. We just saw it as another way to get into small businesses, help them get started, offer a broad range of products and a suite of products that tie to payroll. It will tie to SurePayroll. It could also certainly tie to core payroll, our small business payroll at Paychex, because a lot of clients -- obviously, 80% of our clients are under 20. So I think it's a good fit for both of them. We're kind of just getting started, but it's getting some nice attention already just as we've rolled out the Paychex Accounting Online private-labeled version of it.
Operator: The next comes from Rod Bourgeois from Bernstein.
Rod Bourgeois - Sanford C. Bernstein & Co., LLC., Research Division: I just wanted to inquire about the PEO business and to what extent there will be impact from Obamacare. Can you just summarize? I'm assuming there are some significant positives, but there also could be some negative implications of Obamacare. Can you just outline that for us? What are the major positives and the potential negatives that could stem from Obamacare as you look at the PEO business going forward?
Martin Mucci: Yes. From the PEO business, I think, for the most part, it's been a positive that we've experienced so far, which is the fact that in that PEO co-employer status, it's making the -- it's a great sales opportunity to get in front of people and say that we're going to be able to help them by bringing them into the PEO being a co-employer and working them through the requirements and that we have the expertise to be able to handle their needs. So I think it's been certainly a positive for those clients who are concerned about the requirements. Everything keeps changing when things are due, when it's going to take effect. And so the PEO business is seeing, I think, a nice uptick from that. Not huge, but it's certainly seeing some positive momentum for it. From a negative perspective, I think, it's -- I don't know. Overall, I think, the negative perspective is just the disruption that it causes new business start-ups in general as to whether to add an additional business, whether to start up your business, whether to invest in health care at all because you're just not sure what it's going to cost you and what the requirements and possible tax implications are going to be for your employees. So I'm not so sure, Rod. I think the negatives are frankly across-the-board more than they are specifically for the PEO. And right now, at least in the short term, it's a positive for the PEO. Efrain, anything you want to add to that?
Efrain Rivera: No. Rod, the other thing I'd add to what Marty is saying is that in the short term, the pluses are dwarfing any negatives. And one of the things that was implicit in what Marty said was that you have an ability to underwrite pretty successfully within the PEO in a time when most insurance companies are struggling to figure out what their requirements are. And so in this window of time, PEOs have an advantage because they understand their cost structure, self-insured to some extent, and are able to go to market with a pretty clear offering. Over time, that could change. I would say that's a potential negative as the exchanges get up and running and then become, perhaps, pricing changes. But in the short term, we're certainly seeing -- reaping the benefits of that trend.
Rod Bourgeois - Sanford C. Bernstein & Co., LLC., Research Division: That's helpful. And then one other question. When we spoke 3 months ago, we were inquiring about whether you think your payroll client base can show positive growth for the fiscal year. And you expressed confidence that, that could be achieved. How do you stand on that now? Do you feel more confident at this point that you can have growth in the number of payroll clients for fiscal '14?
Efrain Rivera: I think we feel reasonably confident. But again, I caveat all of that by saying we have to win our share in the third quarter and not lose more than our share in the third quarter and we're in the middle of that so...
Rod Bourgeois - Sanford C. Bernstein & Co., LLC., Research Division: Any early signs on how that's going that you can comment on?
Martin Mucci: I guess I would just say that we're feeling continued positive -- real positive momentum on the sales forces kind of across-the-board, whether it's core payroll, SurePayroll, 401(k), HR outsourcing, all feeling a good momentum there that has continued from the first quarter right into the second.
Operator: The next comes from Sara Gubins, Bank of America Merrill Lynch.
Sara Gubins - BofA Merrill Lynch, Research Division: You mentioned seeing some more client growth in this past quarter. Is there a sense that this is coming from any improvement on the new business formation front? Or is it better sales in existing small businesses?
Martin Mucci: I would say it's not very much from the new business. I would say that the negatives seem to be flattening out a little bit there where we were -- that was when we were down year-over-year on new business growth. So that seems to be flattening out. I'm not saying we're getting any wind behind us on new business growth yet, so I think that's still -- very slowly improving. It's more from, I think, some of the focus we've put on banking channels and -- for referrals and franchises and the CPA community. So that's where we're seeing more positive momentum from a sales perspective.
Sara Gubins - BofA Merrill Lynch, Research Division: Great. And then separately, I was hoping to learn a bit more about the relationship with Kashoo. And could you give us any color of your ownership of it and whether or not you see a pathway to total ownership? And then also you mentioned that you thought it could help strengthen the relationship with CPAs. I was trying to understand that a bit better because it looks like maybe it could be a competing product with them?
Martin Mucci: Yes, we see it as an alternative -- let me take the last part first. That from a CPA perspective, I think what we got from research we had that they're constantly looking for alternatives to what they have today. And that if a client -- this is a simple accounting -- cloud accounting package that can help a business, a brand-new business, maybe get started. But as they build and get larger, they would move toward a CPA, and the CPAs can very easily work on the same Kashoo work on their accounting package with the client, which, of course, they like. So we're trying to do it, always encouraging the client who gets on the product to use their CPA, do the work in conjunction with their CPA because that's still an important relationship for us. So we think that the CPA, one, is looking for other choices and accounting packages, and especially for a brand-new business that's starting up, this might be a way to start them then they realize that they could go to an accountant and help them either with Kashoo's package, our package, or move to something else. I would say from the relation-- the investment standpoint, we made an investment into the company, a minority investment. And there's -- I think there's always an opportunity for future increase in investment. But right now, we're pleased with having an investment in them, having a white label product under Paychex Accounting Online that we offer, and see how it goes from here.
Operator: The next comes from Jim MacDonald, First Analysis.
James R. MacDonald - First Analysis Securities Corporation, Research Division: Back to the ACA impact. What about the impact on your health brokered business, given the taxes that the ACA puts into place. Is that going to slow that growth?
Martin Mucci: Well, we're thinking, generally -- first of all, the opportunity is for us to get in front of clients and explain what all the requirements are and that we have some products that will help them. Second, I think we're always impact -- we're always thinking that if small businesses move more to the shops, to the exchanges, that could hurt us a little bit, that would be a negative for us because some of the small business would move to the exchanges. But again, right now, we're not seeing much of that because the exchanges are not really in very good shape and they're not necessarily set up, and the rates aren't necessarily that much better than what we can offer through various carriers and so forth. So I think in the longer term, if they get up and running and get efficient and have competitive rates, it could hurt us a little on the small end. However, we had started to focus already on a little bit more of our mid-market or larger-market clients with insurance. We have covered the gamut, but we have focused the expansion teams, the increase in salespeople, on the 50-plus market and that won't impact. If anything, that will drive more sales, I think, to us because we can give a very competitive offering. And remember that our offering helps integrate with payroll, it provides additional information. We help with the billing and we help you set up a client -- I'm sorry, a new employee and we also help you with COBRA. So I think there could be some -- there's some negative piece to it that we've talked about on the small end, but there's some positive piece I think on the mid-market in which we're also selling insurance in.
Efrain Rivera: And Jim, I think that everyone's feeling the fact that the ACA's tacking on some additional fees that clients have. So I don't think anyone's disadvantaged or advantaged in that process. We -- as Marty said, we knew the lower end of the market eventually will gravitate into an exchange that probably at the margin makes that a little bit more quick to happen. But they're -- but we've pivoted our sales force to address that, to position ourselves for that anyway.
James R. MacDonald - First Analysis Securities Corporation, Research Division: Okay. And the G&A this quarter seemed to be up a bit more than I would have expected. Any issues there?
Efrain Rivera: No. There's no issues whatsoever other than good ones. So -- the first is our IT spending was about where we expected it. We expected it to be a little bit higher in the first half of the year. It was up. And then the other part was we're just having a very strong selling season. We typically wouldn't call that out unless it was a bit above where we expected it to be and we just have to make provisions on the assumption that, that will continue throughout the year. So if we don't call it out, it's because it's about where we expected it. And as Marty's been saying now for 2 quarters, sales execution's been really strong. So those are the 2 buckets where it increased.
Operator: The next comes from Danyal Hussain from Morgan Stanley.
Danyal Hussain - Morgan Stanley, Research Division: Calling in for Smitti. I was hoping you guys could just help us quantify the Hurricane Sandy impact. I think last year you mentioned maybe a negative 50 bp impact to payroll revenue. So would you say that the benefit this quarter has been approximately the opposite of 50 bp benefit positive impact?
Efrain Rivera: Yes, I'd say it's 50 bps. That's our best estimate.
Danyal Hussain - Morgan Stanley, Research Division: Okay. And then heading into the year, you guys gave guidance around expecting EPS to being evenly split from the first half to the second half.
Efrain Rivera: Yes.
Danyal Hussain - Morgan Stanley, Research Division: So I guess now that you've had this strong first half, are you guys still expecting that same distribution?
Efrain Rivera: No, not quite. I think we're obviously a little bit ahead in the first half and we reiterated where we are in our EPS guidance for the year as I read it out. So we're still in the 8% to 9% range.
Danyal Hussain - Morgan Stanley, Research Division: Got it. And then maybe if we could just revisit buyback. So you guys had that authorization last year and then share count was ticking up. And now it's the second quarter in a row where you've done the buybacks. I'm wondering if there's anything in your thinking that's changed and whether you expect to continue this going forward?
Efrain Rivera: Look, I think that what we have done through the first 2 quarters is buy back opportunistically, primarily to offset dilution. Some quarters, we're a little bit more successful than others. And we'll do that through the balance of the year. Got no specific program purchases per se, but we'll look at opportunities to offset some of the dilution. We've had a pretty significant dilution over the last -- by our standards, over the last year or so, 18 months, and we're just trying to offset a bit of that.
Operator: The next comes from Ashwin Shirvaikar, Citibank.
Ashwin Shirvaikar - Citigroup Inc, Research Division: I guess I wanted to go back to the product road map, the comments on IT spending. If you could give us an update on key initiatives that you have coming up? And also remind us how much of the spend on all these multichannels in the recent past, how do you think of it in terms of onetime spend versus something you had to keep doing on an ongoing basis, what's the split there?
Martin Mucci: I think there's always going to be a consistent -- some level of consistent spend there. I think we had been on a higher end of some of the spend now. But as you capitalize it and amortize that, obviously, that takes over for some of the expense you had. So you end up with more expense on depreciation and the amortization of capitalized software and so forth. I think we're at a pretty steady rate. I think we had reached our peak kind of over the last year or so. And I think it will stay steady. I don't think it's going to go down a lot, but I don't -- you won't see it going up as much as it had. It was the only expense that has grown double digits over the last 4 or 5 years. And I think it'll stay relative low double digit or below kind of growth in the future. And so I don't know. There's some onetime, but I think there's a constant level of spend and it's just a matter of setting your priorities on where you spend most. The focus will continue to be on integration of all the products. You have a wide suite of products and so it'll be on integration, certainly continue to be on mobility. Although we feel very good where we are now with the mobility product being able to get it basically any of your information as an employer or an employee and being able to submit or edit payroll as well. So I think it's mobility. It's integration. And certainly, it's always about making it easy, so from a user interface standpoint, how do you continue to keep up with the trends of making things very easy and client-friendly to get at their information, when they want it and how they want it and do what they want.
Ashwin Shirvaikar - Citigroup Inc, Research Division: That's useful. So just to clarify, though, steady in -- you said steady in the low double digit. Were you referring to growth, in which case it would keep growing faster than revenues? Or are you saying steady as...
Efrain Rivera: Yes, yes, Ashwin. So the answer is we expect it to grow faster than revenue, but we expect other areas, obviously, ops -- operation expenses and G&A to offset part of that increase. The price of being in this game is to constantly spend in technology. And the game we're in increasingly is creating a suite of services that becomes the point that gets sticky for the customer. So payroll alone is not the only thing that many customer want. They want an integrated solution. So what you've got to do is invest in creating the technology, which Marty was just mentioning, to deliver that information in mobile fashion and give them access across all platforms to that information. So we anticipate that spending on IT will tend to grow at a faster rate than sales whereas spending on ops will grow at a slower rate.
Martin Mucci: Yes, I think it'll be a continuation of what you've seen, even as when IT spend, we've mentioned this was probably more mid- to high single-digit increases -- growth increases, we always offset that. And so when we look at total expenses, we're always looking for some leverage in most everything we're doing, but that's in total. So where you drive productivity in one side, the technology spend will tend to be the higher end of the expenses.
Efrain Rivera: Yes, Marty was saying mid- to higher teens. So yes, 15% to 20%, which was our peak.
Ashwin Shirvaikar - Citigroup Inc, Research Division: Understood. That detail is quite useful. The -- I guess, one other question I had was more of a clarification again. The payroll client count, that's the overall number, does include SurePayroll, right?
Efrain Rivera: Yes, it does.
Ashwin Shirvaikar - Citigroup Inc, Research Division: And that part is increasing nicely and you're saying it's really the core is still sluggish.
Efrain Rivera: I didn't say any of that, but Sure is increasing nicely and overall we're increasing. We've increased in the first half of the year. But a caveat, for the third time, we need to get through the sales season to see where we end up.
Ashwin Shirvaikar - Citigroup Inc, Research Division: Right, right. Is there any early intel in terms of competitive dynamics with regards to the selling season [indiscernible]
Martin Mucci: No, I think it's a little too early for that, but we don't see, at least at this point, we don't see the environment any different, any more or any less competitive, than we have in the past. So it's a little bit early but we don't really -- haven't really seen much change in the competitive environment. If anything, I think we're feeling good about the progress we're making at this stage.
Operator: The next question comes from Joseph Foresi, Janney Montgomery Scott.
Joseph D. Foresi - Janney Montgomery Scott LLC, Research Division: So my first question here is just on -- I'm just trying to frame the demand environment. I know we've had a couple of years here where we're kind of slogging it out. But is this still currently a -- sort of a market share game? In other words, is it displacement and cross-selling just for the fact that the small business growth has been kind of mediocre?
Efrain Rivera: I think -- let me characterize it this way. So 2 answers to that, Joe. The first is I think there's a couple of glimmers that indicate that the market itself is growing a little bit. It's still early but we've got some data points that suggest it's getting better. So I don't think it's purely a market share game, but I think it's still primarily one. So that's the first part of it. But I think the second part of it, the second way to answer that is that, increasingly, what we have seen over the last year is that when you go in to talk to a client, they want an integrated solution and they want integrated access to the data. So over time, what we believe is that the person -- or I should say the company that can provide that suite of services the best will win in the marketplace. And not just payroll, payroll is important, but it's also payroll and integrated data also. And that's where we had really gotten much, much better in our sales execution efforts, both on HRS, core and mid-market. And so I guess that's the way I'd frame the market and the opportunity.
Martin Mucci: But I'd say -- just as Efrain said, there's some glimmer. I'd still say it's -- you could call it -- we could -- we would call it sluggish, but it's still -- there is some glimmer of some formation. And housing, I think, is still the one, as we've mentioned a few times, that looks like it's coming back in certain areas, and the housing gives us jobs all around that. So you're start -- as the inventories come down, new homes are going up. Prices are going up a little bit. Interest rates will be interest -- will be interesting on that. But it doesn't look like they're going to go up quickly or anything that would cause that to stall out, so.
Joseph D. Foresi - Janney Montgomery Scott LLC, Research Division: Okay. I mean, just to be clear, so we're not trying to extrapolate because I think people have asked you for data points on the selling season throughout the call. The glimmers you're talking about are more what you see on the macro side, not necessarily anything you're picking up on the selling season?
Martin Mucci: That's correct.
Joseph D. Foresi - Janney Montgomery Scott LLC, Research Division: I figured I help you guys on that one. One last one for me. It -- and it's a very kind of tough one. But if you had to kind of break up your selling into displacement versus cross-selling versus kind of new business or selling into existing accounts, I'm not asking for percentages, but where does that scale weigh right now? I mean, how much of this new business is displacement? How much of it is cross-selling? How much is new business? And you can just rank them. You don't have to give any kind of particular percentage.
Efrain Rivera: Yes. So I guess you really have to look at it by segments, Joe. Primarily what we're doing on the HRS, not exclusively, but HRS is selling into the base. So you can say it's cross-selling or up-selling or whatever you want to call it, right? On the core payroll side, traditionally, 50% of our sales are in new businesses. So that's the new. And then the remainder are -- we're in a competition with everyone else in the market. So if you weigh all of that, a lot of it's cross-selling and up-selling for which we have a large opportunity within the base. And then in core, it breaks out kind of half and half.
Operator: The next comes from David Togut, Evercore.
David Togut - Evercore Partners Inc., Research Division: Marty, a couple of times, you've mentioned improved sales execution over the last couple of quarters. Can you bracket for us what bookings growth has been over the last couple quarters and compare it to what you saw in the previous fiscal year?
Martin Mucci: Well, think I would just -- I guess I wouldn't -- we don't necessarily give a percentage. But I would just say that it is certainly positive across-the-board over last year. It was in first quarter, and it is in second quarter. And so across-the-board, what they're doing is, and Efrain kind of just went through this in a sense of we're selling better into the base for the HRS products, 401(k), ASO and PEO. We're selling, I think, better in the additional products that we've brought on, and certainly, the ancillaries of time and attendance and HR administration into the mid market. So I would just say that it's -- I don't want to be overly enthusiastic, but we're feeling really good progress on how sales is performing kind of across-the-board. SurePayroll is very strong. And so when you look at kind of payroll, HRS, SurePayroll across-the-board, all of them are doing better. So -- and I think that's better execution. I think we've focused a lot better in things that we've gone after, and we've executed well on that. And I think that's probably the best I can give you. We don't necessarily go into percentages, but I think it's been positive and it's been consistent.
David Togut - Evercore Partners Inc., Research Division: Without going into exact percentages, can you bracket for us whether growth is in the single digits or the double digits?
Efrain Rivera: It's good, David. We won't go any farther than that.
Martin Mucci: Yes, especially before selling season. I would wait.
Efrain Rivera: And it's been strong. So I'll just say that.
David Togut - Evercore Partners Inc., Research Division: Okay. And then just as a quick follow-up. You highlighted the launch of Paychex Accounting Online. What was the date of the launch of that product? And can you quantify for us some of the sales you've seen from that product, client traction?
Martin Mucci: Yes, it's been very early. We just launched it within the last -- about 30 days ago. And so it's been a lot of interest. It's -- you sign up over the web. And we do have a team to support those sales and so forth, but it's basically sold right now over the web. And we're getting a lot of good interest in it. It's done by search more than anything and then some advertising, and we're just getting started. But I think what you're finding is it's a very competitive space right now, very interesting space, that you'll see a lot of players in that. And it's something we thought, as we've researched it the last couple of years, that it was a good thing to get into, and we thought Kashoo had a very strong product in a simple cloud accounting app basis. So we're just getting started, but we're getting a lot of good interest in it. And we think it'll help also lead, obviously, to payroll sales and integration in payroll sales, both the SurePayroll and core Paychex payroll as well.
David Togut - Evercore Partners Inc., Research Division: Final question for me. As we look out to the next fiscal year, how are you thinking about your dividend payout ratio versus share repurchase in terms of overall capital allocation priorities?
Efrain Rivera: Yes. I think, David, our position is that we'll first look at dividend increases before we look at share repurchases. But we'll have some element in the mix of share repurchase, at least to offset dilution. That's our thinking going forward.
Martin Mucci: But you -- and you could see that we're -- we've been pretty consistent on where we are from a dividend payout ratio. And I would expect -- it's a board decision, but I would expect that, that would remain pretty consistent.
Operator: The next comes from Bryan Keane, Deutsche Bank.
Bryan Keane - Deutsche Bank AG, Research Division: I want to just ask on HRS services. Obviously, you increased the guidance there for that range. What's causing the surprise or where's the strength actually coming from better than your expectations?
Martin Mucci: I think it's across-the-board. 401(k) has been very strong. We went after expanding -- about 1.5 years ago, expanding our kind what we call large market, going after a little bit larger 401(k)s than we had in the past and in our base, and that's been very successful. And I think -- so 401(k) across-the-board has done very well in their growth. And then on the ASO and PEO side, we talked a little bit earlier why the PEO, I think, is certainly getting a bump from health care reform, and that's helping. But I think we also are executing a lot better in our PEO business. We put some new -- there's some new folks in there, some new plans and leadership and over the last couple of years, and that's really starting to pick back up and do well. And so I think with all the insurance confusion that's out there, I think people have been much more open to go toward the PEO, and that's helped us. And the ASO, I just think there's more and more regulations. I think as the economy gets slightly better, businesses are willing to spend a little bit more and also see the value of that product and how much you can -- it can help you with all the compliance and so forth that we offer. And we've been in it a long time. So I think it's just kind of -- it's all kind of coming together to hit our stride between execution and the environment.
Bryan Keane - Deutsche Bank AG, Research Division: Okay, that's helpful. And then just on payroll services. Obviously, the growth rate was a little faster than, I think, our and Street expectations. Thinking about that longer-term, what's the right growth rate? Is 3% to 4% the right growth rate on a longer-term basis, or due to a little bit of client growth, little bit of pricing, we can actually see that more -- a higher number than that as we go forward?
Efrain Rivera: I think, Bryan, we need to kind of work through the remainder of the year. But I would just say, our internal expectation is that 3% to 4% is not a number we want to be at, and we think that there are probably a number of ways to get that above that. That's our guidance for the year. We'll walk through it and get a better sense. We've been feeling our way through this, coming off a year where we had just barely 2% for a number of reasons. We're really pleased with the acceleration, and we think -- we want to get it above 3% to 4%, put it that way.
Operator: The next comes from Kartik Mehta, Northcoast Research.
Kartik Mehta - Northcoast Research: And so, Marty and Efrain, I wanted to ask you a little bit about the SurePayroll business. And if you are seeing any more competition or more pricing competition? It seems like lots of cloud players out there, or people who want to be cloud players, wanting to get into the payroll business. And has that resulted in any more pricing competition?
Martin Mucci: I think you're -- specifically, Kartik, I missed that first part. It was on SurePayrolls, right?
Kartik Mehta - Northcoast Research: Yes.
Martin Mucci: Yes. I -- there have been some more players that you hear of, that start up I -- but right now, they're doing very well. They've continued to have great sales growth, and we're not seeing a lot of change in the -- from a pricing per unit standpoint at all. I -- they've been very effective in selling a lot of their -- it's web search and then they complete the sale over the phone, and they've done a good job. So we really haven't seen an impact on the pricing there.
Kartik Mehta - Northcoast Research: And then Marty, on the Kashoo business. Any thoughts about changing the price you charge for customers for that business model to try to gain some market share? And then is there a need for more investment in that business, to add any modules or other services that you think would give you a competitive advantage?
Martin Mucci: Well, on the pricing, I think it's pretty competitive right now. We're -- it's in that $25 to $30 range per month, and there are certain various promotions that go on. I -- so I think that's pretty competitive, very competitive with what's out there. And I think you're right. On the long term, we do see this as a growth opportunity for us. We've done everything around payroll. We've hooked almost every service around payroll and, I think, have down well and continuing to drive up the penetration of those products, 401(k), workers' comp, insurance, et cetera. When you kind of back up in that whole system of offerings and you look at accounting, now you've got a lot of other offerings that you could come off of that and begin to offer and expand, increased that penetration. Right now, we're just trying to build this base. We're at the stage of just getting started and saying, one, can we help clients get started with this; can we link them to payroll; can we build that client base? And then once the base is building at a good rate, then look to what you can add to it. But there's certainly some opportunities that we are continuing to look at to do that.
Kartik Mehta - Northcoast Research: So, Marty, will this just be sold over the Internet or will your payroll salespeople also sell it to accountants and you'll use that distribution channel as well?
Martin Mucci: Well, right now, it's going to be over the Internet, given the cost of the service and so forth. Plus, I think that, that seems to be the most effective way to get it, because you're getting brand-new businesses just as they're getting started. And so I think selling over the Internet, we're going to try that first. We're going to trial probably some telesales type of effort as well on that and direct call-in and so forth, and we'll try various ways. But right now, it's going to be mostly web-based search and then sell it all over the phone.
Kartik Mehta - Northcoast Research: And then just one last question, Efrain. Any thoughts on changing strategies for the float to maybe increase the yield on the portfolio, or do you stay where you are? It seems like we're going to have short -- pretty low rates for a while -- for some time now.
Efrain Rivera: I'd characterize it as a tweak. The -- yes, so I read what Bernanke said. And the notes I saw, post-call, were that they thought that short-term interest rates might increase by 25 bps by next summer. That's -- that wasn't sort of our thinking going into the call, but that's where he's -- what he's signaling. If you're in that environment, I would say there's a tweak to say go longer. So we'll look at that as we go through the year.
Operator: Next is Jeff Silber, BMO Capital Markets.
Jeffrey M. Silber - BMO Capital Markets U.S.: Just to continue the discussion on your interest on funds line. If I remember, at the beginning of the year, you talked about that line item being down. I think it was about 7% to 9%. Year-to-date, it's running roughly flat. You didn't change your guidance for the back half of the year. Is there something going on in the back half of the year that we need to be aware of, or do you think you're just being conservative?
Efrain Rivera: I think we're being a little bit conservative, Jeff. I will say this that the recent Fed pronouncements are literally a day old, so it's a little bit tough to incorporate all of that thinking into our back half. We don't expect material improvement because our -- we only replaced about 15% to 20% of the portfolio, so we've made a lot of those decisions already, so may not see a lot of the upside or, I should say, sounds like a lot of upside, but any modest upside during the remainder of the year. We'll look at the portfolio. And if there's any changes, we'll update next quarter. I think it really is more kind of what next year looks like. That's what the recent decisions will cause us to revisit.
Jeffrey M. Silber - BMO Capital Markets U.S.: Okay, great. And on the fund balances side, I know at the beginning of calendar year 2013, you had mentioned you had an influx of funds because of an increasing withholding. Is there anything going on at the beginning of calendar year '14?
Efrain Rivera: No, don't anticipate anything. So we're up 6% year-to-date. It's really just going to depend on client balances and number of clients in funds, so no structural changes. I'll call it expected.
Operator: Next comes from David Grossman, Stifel.
David M. Grossman - Stifel, Nicolaus & Co., Inc., Research Division: I'm wondering if we could go back to the HRS business. And could you just maybe help us better understand, at least in your own view, what the relative maturity of each of these different segments are that reside in that disclosure and, perhaps, the relative scale of each of those businesses.
Martin Mucci: Well, I think there's still a lot of room. The highest penetrated product would be 401(k), and that still has a lot of room. And we don't actually give out the product penetration anymore, but that would be the highest penetrated. And yet, still, we have a number of clients in our payroll base that do not have our 401(k) and give us a great opportunity there, but have a 401(k) but not with us. And so I think that's probably the highest penetrated. All of them, I think we've said, are certainly well under 20% penetrated into the payroll base, and the newer products, when I would say "newer" like insurance, health insurance are way down into single digits and offer us an awful lot of opportunity. So we spent an awful lot of time as an executive team, David, just looking and saying, there's a lot of room here for -- there's a lot of opportunity here for product penetration, and we try to find ways to continue to grow that. 401(k) was a great example. We went after larger market conversions early. And for 401(k), for many, many years actually, we just took brand-new plans. And so there's just a lot of opportunity in all of it. It's -- I think gives us a lot of runway for years ahead.
Efrain Rivera: Look -- and the fact that we don't specifically call it out, Marty saying, doesn't mean that we don't understand what the opportunity is. It's just that the opportunity is really large. And every quarter we go, we discover that there's other opportunities that we should be directing our attention to. And I think the 401(k) upmarket is a great example of an opportunity that -- an organic opportunity in the last year to 18 months that doesn't depend at all on our client base. Those are not current Paychex clients for payroll. They simply are new clients that we are adding because we have acquired a core competency that was adjacent to our -- that are adjacent to our initial core competency, which was doing payroll and 401(k) plans. So when we look at the opportunities in each of those segments, be it ASO, PEO, be it 401(k) or insurance, we just see a lot of runway before we ever would get to a point where there're -- where we saw we were saturating the client base. And I think the other thing, David, I would add is, that we've said this several times, that we really have a big advantage because of our client base and the fact that we see the market gradually moving towards a suite of services sale. And it's the best suite of services with the best integrated data that, over time, integrated access to the data that's going to win, especially in small and medium-sized businesses.
David M. Grossman - Stifel, Nicolaus & Co., Inc., Research Division: Right. So with that said, it probably takes 2 things, right? One is having a product set that is kind of truly integrated and meets those criteria. And then secondly, a sales force that can sell a bundle, which I think is a slightly different sale. So can you help us perhaps -- you can leave the technology piece out. I know you've talked a lot about that in the past. But on the go-to-market sales side, what have you done to tweak that sales organization to sell that bundle since it is really a different approach?
Martin Mucci: Yes. I think, one, we've -- it's still -- to start with, most of the time, it's still going after the base and coming in behind it. And what we've done there is get much more specific on what each group is selling. So again, the 401(k) market was -- we had a lot of folks in 401(k) sales very good at selling brand-new plans, first time I ever had a 401(k), et cetera. Then we went more to kind of smaller but still conversions. Now we go to larger market conversions, it requires a different tenure, I think -- I guess I'd say of talent in the sales organization to sell a large market plan. And we also sell much more into financial advisors. So we'll go to a financial advisor who we would normally sell a plan to the client and then say you need a financial advisor and here's one you could talk to. Now we're building more relationships with the financial advisors, and there's an opportunity there to pick up even more business from the advisor, not just per client but maybe by advisor. So it's to us, for the most, it's changing some strategies to get much more specific on what you're trying to sell, and then look for the -- a different skill also, to some degree and experience. And we've been very successful on that, I think, is the biggest part. Then you'll see probably more of a shift of as we look at a client that comes in that might have more employees, that you go at that client with a full bundle. We're doing a little bit more of that now as opposed to just our traditional model of sell payroll and then sell everything else after on a kind of 30-day, 60-day, 90-day type of thing. So I think we're trialing a lot of different ways to sell it, to increase that opportunity.
David M. Grossman - Stifel, Nicolaus & Co., Inc., Research Division: And do you have any data points on the bundled sale?
Martin Mucci: No. I'd say it's still fairly early on that to say it. But I think the data point is when you're seeing the growth in HRS continue at double digits and 12% and numbers like that, it's showing continued great momentum. Because the client base isn't growing as quickly, obviously, over the last few years because of the economy, yet that HRS continues to drive into that product, into that base. I think that's the best data point I'd give you is that we're still seeing really solid growth there and bringing guidance up a little bit because of the execution.
David M. Grossman - Stifel, Nicolaus & Co., Inc., Research Division: Right. Okay. And then just secondly, just going back to the rates. I mean, Efrain, when you look at the forward yield curves, any sense of when the rate comparison actually should go positive? I mean, should we see that? I assume -- you're obviously taking out the total return with the balance growth. But just the yield itself, should we see that turn positive then -- next year?
Efrain Rivera: Yes. You should see it turn positive next year. I can't give you numbers yet. We'll have to analyze what rolls off the portfolio, but we should go positive next year.
Operator: The next comes from Tim McHugh, William Blair.
Timothy McHugh - William Blair & Company L.L.C., Research Division: First, just on the PEO business. I guess how's the competition as you're growing that? Is there anything -- is it, I guess, significant, or do you feel like you've pulled ahead and that's part of the growth you're seeing? I guess just a little more color on what you're seeing there, given the growth you reported.
Martin Mucci: Yes. I think -- no, I think that the competition, the competitive environment is probably as strong as it's ever been because there's been some consolidations over the last few years, and I think they've -- therefore, I think the competition is pretty strong. I do think that we've executed much better, as I said earlier. I think we've got a better focus. I think we've got a great product. We've also -- we improved the technology and the product there with probably 18 months ago or so and got a stronger product set. And so between the product set, the leadership and the execution and the last thing I was -- and the market, this -- the whole health care reform environment, I think all of those have led to us doing better in the market overall. So I think the market -- I think the whole PEO market is positive to begin with. But I also think between product technology and execution on sales and operations, we've done a lot better.
Timothy McHugh - William Blair & Company L.L.C., Research Division: Is the bulk of the sales and -- the reason people are buying in the PEO, is it because the health care uncertainty and, I guess, the cost of health care? Or is it out to the kind of a holistic outsourced solution? I guess where -- I think of those as the 2 main reasons people might buy some of those. Where does it sit right now?
Martin Mucci: I think it's a little bit of both. I think, obviously, we sell it as -- there's a total outsourced solution, that we're giving you support from an HR perspective. And I think that the insurance side adds a strong additive to that. You start with the HR. But I think the fact that, right now, in particular, with so much concern and confusion over health care, I think that's kind of throwing -- it's kind of throwing people on the value set overboard to make the decision to go with it. So I think it's a combination. But I think, certainly, the health care confusion is helping a lot, drive you to the PEO versus an ASO.
Timothy McHugh - William Blair & Company L.L.C., Research Division: Okay. And then on the topic of exchanges got brought up on kind of on an ancillary basis a little bit on the call. I guess what's your outlook there? I believe you've launched your own kind of exchange solution for small businesses. What type of interest from clients? And is that an opportunity to grow the insurance brokerage business more quickly, or is that a threat as you look forward, I guess?
Martin Mucci: Well, I think it's -- on one side, it's going to be -- it's a little bit of both. On one side, it's the threat as we talked about on the small business side. I think at the exchanges, you assume, over the next year, they'll get in better shape and they'll offer competitive rates. I think that they will draw some small businesses to them. And I think that -- but I think, on our side, the partnership we did was actually more toward -- around the benefit card that we offer that allows you to combine flexible spending accounts and health savings accounts and reimbursements accounts altogether, because that's a big confusion point for our clients and their employees, and tying that then to a private exchange partner of ours. Right now, there's some confusion out there now because there's -- but with some changes in the flexible spending account rules as to whether you could do tax deferred or tax -- yes, I guess I'd say tax deductible, really, kind of payments into these plans. And that's -- so those rules are kind of changing right now, and we're trying to work through that. But generally, I'd say the exchanges are going to be a little bit of a negative for us. But overall, because of the way we'll partner, I think it'll be positive or a nonevent in the long run.
Operator: The next comes from Mark Marcon, R.W. Baird.
Mark S. Marcon - Robert W. Baird & Co. Incorporated, Research Division: Just wondering, with regards to the strength that you're seeing on the core, could you talk a little bit about where you're seeing that specifically in terms of really small end? I'm talking about sub-7s versus your traditional core versus MMS.
Efrain Rivera: Mark, there really isn't a significant change from prior quarters. We were -- we've seen strength basically across all of the segments that we competed in payroll.
Mark S. Marcon - Robert W. Baird & Co. Incorporated, Research Division: Any regional differences?
Martin Mucci: Not -- I would say a little bit. We're -- I think southeast and west, I think where the housing, that's helping a little bit, give us a little strength there as the housing is coming back a little bit there, the new home construction and so forth. But that's helping on the new business side. But other than that, not a big difference.
Mark S. Marcon - Robert W. Baird & Co. Incorporated, Research Division: Okay. And then as it relates to the integrated and bundled solutions, can you talk about the new clients that you're getting? Like is there a greater percentage that are utilizing or buying upfront a bundled solution, or is it pretty much the same?
Martin Mucci: I'd say it's pretty much the same at this point. I don't think you're -- I think with the economy the way it is, even though our selling is moving more toward that, you're still seeing people be a little bit cautious and maybe buying in over time additional products. It's still been -- it's still we're seeing, generally, you buy something, you build some confidence with them and then you can sell on to the next -- the value of the next product and so forth. Now with some clients you can go in right upfront and say, "Look, I can sell you an ASO offering because you're a client that has a lot of turnover." You're a restaurant or a service organization that has a lot of turnover. You have a lot of issues with whether employees are exempt or non-exempt. It depends on the client. But generally, I don't think it's changed too much yet, overall.
Mark S. Marcon - Robert W. Baird & Co. Incorporated, Research Division: Great. And then with regards to the pickup are -- how much of it -- of that would you attribute to the improved product relative to improvements in sales, both in terms of leadership and training?
Martin Mucci: Yes, I think it's a little bit of both, I think, certainly, we've had great execution and leadership. I think there's a lot of new leadership in the team. I think they're doing very well, and they're continuing to drive, I think, a real accountability and commitment. We've always had that, but I think it drives it even more. And they're giving them a lot of support in the field. But I also think, certainly, the product having service satisfaction numbers at an all-time high and continue to be there, our operation teams, that really gives them a value to sell and then you get more referrals that way. And certainly, the technology, the mobility platform, we're just seeing an increasingly number of clients that are using the mobility platform, their employees and the clients, whether they're gaining -- getting information, getting their pay stubs. And all of that starts to give you not only better value for referral to sell, but also it improves the retention as well.
Mark S. Marcon - Robert W. Baird & Co. Incorporated, Research Division: And you said that the client satisfaction is at all-time high, and you also mentioned that -- earlier that retention is near record levels. Could you give us a specific number in terms of the retention?
Martin Mucci: I think we said on the retention, it was -- at our highest levels, it was over 81. It was over 81, which would be our highest -- I think that's the last number we gave out.
Mark S. Marcon - Robert W. Baird & Co. Incorporated, Research Division: Okay, great. And then are you also benefiting from a reduced number of companies going out of business just because...
Martin Mucci: Absolutely, but that's flattening out now. That was a big improvement over the last couple of years. And now, that's not as much the issue anymore, that -- we're not gaining as much on that.
Mark S. Marcon - Robert W. Baird & Co. Incorporated, Research Division: So relative to a year ago, that's probably about the same?
Martin Mucci: Yes. Well, even a little less. Like improvement from those going out of business is certainly less improvement, I guess I'd say, than last year.
Mark S. Marcon - Robert W. Baird & Co. Incorporated, Research Division: Okay. And then with regards to -- just to wrap up on one thing I wasn't certain on. The -- just sequentially, going from Q1 to Q2, you had the exact same number of processing days in Q1 as Q2?
Efrain Rivera: Yes.
Mark S. Marcon - Robert W. Baird & Co. Incorporated, Research Division: Okay, great. And then finally, as we think about the tech spend, what are the areas that you think you need to improve further? How should we think about that and kind of the roadmap going forward? Like where do you think the biggest opportunities are?
Martin Mucci: I think it's always -- to me, it's always integration of all your products, making it easier to integrate. It's -- we've introduced, in the mid-market space, some kind of the integrated solution of people, for example, a place where it's just easier from any -- whether you're in time and attendance, HR administration or payroll, that you can easily pull an icon down for people and make all your changes very quickly, kind of in a pop-up screen, and then it'll fill in all 3 of those services. It's always going to be about making though -- whatever the client needs easier and more integrated across the multitude of products that we have. So integration of products, ease of use, user interface and mobility will be our continued focus. And then, of course, as we acquire or do things like Kashoo, it'll be how do we integrate those more and more into our product set, so anything we buy and expand, how do we integrate those more into our product set as well. We'd like any client to take full product suite, obviously, and make it very easy for them to move between products and look at the experience as one total product.
Mark S. Marcon - Robert W. Baird & Co. Incorporated, Research Division: What percentage of the clients are on the platforms that would enable that easy integration?
Efrain Rivera: The vast majority.
Martin Mucci: Yes.
Efrain Rivera: The vast majority, Mark.
Martin Mucci: Yes.
Mark S. Marcon - Robert W. Baird & Co. Incorporated, Research Division: Okay. And then last question, just with regards to the new sales on the core. Of the 50% of the clients that aren't brand-new businesses, they're obviously doing something from a payroll perspective. Has there been any shift in terms of who you're taking clients from? It would seem that just as the technology investment goes up, it makes it more and more difficult for some of the locals to keep up.
Martin Mucci: Yes. We've seen that pretty consistently that more local players -- but -- and I think we've done about the same as we always have with the other national competitor, maybe a little better lately, but that's pretty close. They take some and -- from us, and we take some from them. And -- but the regional players, it's more difficult for them to have the product suite, the breadth of products, as well as the technology and the mobility platform, which is becoming so much more popular now.
Operator: Then the last question today comes from Tien-tsin Huang, JPMorgan.
Tien-tsin Huang - JP Morgan Chase & Co, Research Division: Just a few quick questions, I hope, just the acquisition side. I heard the dollar questions. But how's the performance of some of these acquisitions going? Are they like myStaffingPro? Are they performing above, below plan? Any kind of anecdotes there?
Martin Mucci: Yes. I would say they're performing at or above where we expected. It's still fairly early, but we're -- not only from their organic standpoint, themselves, but also tying them into us. We're feeling pretty good. We're pretty careful. We look at a lot and acquire a few, and then we are very tight on the integration and the work and the execution work. We follow it very closely. So all of them are doing as well or better than the business cases that we put forth.
Tien-tsin Huang - JP Morgan Chase & Co, Research Division: All right. Just a quick question, just around data, following up of the last question. Just -- have you seen any change in the way your clients are inputting their payroll data into the systems? Any shift there or interesting trends to call out?
Martin Mucci: I would just say that I think -- the -- they're probably more online. But the interesting thing with us is we offer that dedicated payroll specialist to you. And this week, you may -- and we really encourage the fact that this week, we may call you -- the payroll specialist who's dedicated and knows your business will call you and get your information and work with you. The next week, you may want to do your own payroll online and then you may want call them with a question. The next week, you could do it on your mobile phone. So we are seeing more interest in online and -- but still with that dedicated specialist. So they don't -- they can do it but they have help whenever they need it, if they want to do it. But we're really at work to give them their freedom to do what they want, when they want, kind of where they want. And so we offer them that dedicated person, and yet, they have all the opportunity. So we've seen online usage and input increase a little bit.
Tien-tsin Huang - JP Morgan Chase & Co, Research Division: Okay, good to know. Last one, just the -- on just back to float. I caught the conservatism comments. But as we step into the next quarter or the following quarter, float balances, I guess, should come in a little bit, given some of that tax changes? Just trying to make sure -- or I guess, next quarter, any reason why it should step down sequentially?
Efrain Rivera: No, it shouldn't.
Tien-tsin Huang - JP Morgan Chase & Co, Research Division: It shouldn't, right?
Efrain Rivera: Yes. But a caution, Tien-tsin, part of the mental calculation that I'm doing when I get asked that question, is how much of the 15% to 20% of the portfolio is rolling off in a given quarter. So that affects what my answer is going to be with respect to the -- with respect to where we see interest rates. So we've invested a lot of the funds that we expected to roll off at this point. We have a tranche coming in spring. And then the question is whether it really makes a dime's worth of difference for the projection for the remainder of the year.
Tien-tsin Huang - JP Morgan Chase & Co, Research Division: Got it. So the roll-off is the key. The float balance change shouldn't be that volatile.
Efrain Rivera: No, no. That's right.
Operator: There are no other questions, sir.
Martin Mucci: Okay. At this point, we'll close the meeting. If you're interested in replaying the webcast, it will be available till approximately January 20. I thank you for the -- taking the time to participate in our second quarter press conference call and for your interest in Paychex, and we wish you all a very happy holiday season. Thank you.
Operator: This concludes today's conference. You may disconnect at this time. Thank you.